Operator: Good day, and welcome to the Chubb Limited Third Quarter 2020 Earnings Conference Call. Today's conference is being recorded. We will conduct a question-and-answer session after the prepared remarks. [Operator Instructions] For opening remarks and introductions, I would like to turn the call over to Karen Beyer, Senior Vice President, Investor Relations. Please go ahead.
Karen Beyer: Thank you, and welcome to our September 30, 2020 third quarter earnings conference call. Our report today will contain forward-looking statements, including statements relating to the company's performance, pricing and business mix and economic market conditions, which are subject to risks and uncertainties, and actual results may differ materially. Please see our recent SEC filings, earnings release and financial supplement, which are available on our website at investors.chubb.com for more information on factors that could affect these matters. We will also refer today to non-GAAP financial measures, reconciliations of which to the most direct comparable GAAP measures and related details are provided in our earnings press release and financial supplement. Now, I'd like to introduce our speakers. First, we have Evan Greenberg, Chairman and Chief Executive Officer; followed by Phil Bancroft, our Chief Financial Officer. Then we'll take your questions. Also with us today to assist with your questions are several members of our management team. And now it's my pleasure to turn the call over to Evan.
Evan Greenberg: Good morning. The quarter was marked by continued insurance market hardening, an economy struggling to reopen globally and a very active period for catastrophes with current industry estimates ranging between $35 billion and $40 billion in insured natural and manmade cat globally. As an industry leader, we of course have our share of exposure in losses. We published a P&C combined ratio of 95%, which was impacted by $925 million of net cat losses, a good performance, all considered, supported by both significant underlying - underwriting margin improvement and very strong commercial P&C revenue growth globally as we capitalized on favorable underwriting conditions. To begin, in terms of cats, we tracked over 40 separate events globally in the quarter, a very high frequency. For the North Atlantic hurricane season, we're now into the Greek alphabet. Aside from hurricanes, we had the derecho in the Midwest, wildfires along the West Coast and a number of international weather events. The increasing trend in both frequency and severity of events, from a variety of natural perils, wind, flood and fire-related informs our views of current and future expected cat loss levels, as well as our view of required rate to ensure the exposure in both commercial and consumer property-related lines. Where we can get paid adequately for the volatility and uncertainty, we will maintain and even grow our exposures. Where we cannot, we shrink. And in either case, shape our portfolio according to our risk appetite. California wildfire is a good example of both shrinking and shaping the portfolio. We shrunk our overall insured home count 16% over the past few years and improved the shape of the portfolio by reducing the home count 21% in fire exposed areas. Overall for cat risk, there is more to come, as we continue to improve the tools we use, both science and technology to better assess the risk and concentration of exposure in the areas of flood, wildfire and wind. Our global P&C, which excludes agriculture ex-cat current accident year combined ratio was 85%, an improvement of 3.3 points over prior year with underwriting income up 36% in constant dollars, as a result of both margin improvement and earned premium growth of 10% in commercial lines. Over 2 points of the margin improvement were loss ratio related. The balance was expense ratio related. Of the loss ratio component, about a point was margin improvement because earned rate exceeded loss cost trend. The balance was a modest recognition of the favorable impact from the health-related shutdown and economic conditions, principally a reduction in loss frequency in US and Latin American Automobile lines. Of the 1.2 point expense ratio improvement, the acquisition-related portion is due to mix of business, i.e. less consumer, more commercial. And of the operating portion one half is efficiency related and the balance due to current operating conditions. As for crop insurance, much has been written about the impact of the derecho on crops. Despite the derecho, from all we can see, we are on track for an average crop insurance year. Finally, given the relatively improved visibility and stability in both the risk and business environment, as compared to the first three quarters of the year, and given our very strong capital position, we are lifting the moratorium on our share repurchase activities. Phil will have more to say about investment income, book value, cats and prior period development. Turning to growth and the rate environment, P&C premium revenue in the quarter grew about 6.5% globally in constant dollars, made up of 10.8% growth in commercial P&C and 3.3% decline in consumer lines, which included negative growth in global A&H and international personal lines, and positive growth in North America personal lines. In the quarter, we continued to experience a strong and continuously improving commercial P&C pricing environment, particularly in North America, the UK, the Continent of Europe and certain locations in Asia Pacific. And it continues to spread further. In North America, commercial P&C net premiums grew over 11% which is very strong, and by the way includes a reduction in growth of 5 points, due to reduced exposures from the decline in economic activity, including employment. New business was up 15% and renewal retention remained strong at 93.6% on a premium basis. In our North America Major Accounts & Specialty business, net premiums written grew over 12%, while our middle market and small commercial business grew about 5.5%. In our international general insurance operations, commercial P&C net premiums grew 13% in the quarter in constant dollars. Our international retail commercial grew 11% and our London wholesale business grew nearly 22%. New business was up over 6.5% overall internationally. Retail commercial P&C growth by region, with net premiums written, up 26% in Continental Europe; 11.5% in Asia-Pacific; and about 9% in UK and Ireland. Globally in those markets where we grew, we continued to achieve improved rate to exposure across our commercial portfolio, and I'll return to that. Overall rates increased in North America commercial P&C by over 15%. Major accounts risk management casualty rates were up 6.5%, general casualty was up 31%. Property rates were up 22% and financial lines rates were up 23%. In our E&S wholesale business, property rates were up 21%, casualty was up almost 32% and financial lines up about 25.5%. And in our middle market US business, rates for property were up 16%, casualty rates were up over 11% excluding comp, which was down 1.2% and financial lines rates were up over 17%. And in international general insurance operations rates were up 15% in international retail and 32% in London wholesale. Consumer lines growth globally in the quarter remains heavily impacted by the pandemic's effects on consumer-related activities, and our international personal lines business, predominantly auto, home and cellphone premiums shrank 1.7%, while our global A&H premiums, that's US and international together, were down about 12.5%. We expect both to return to growth sometime during '21. Our North America personal lines business grew about 3%, as we continue to experience flight to safety and quality in our high net-worth segment. New business in that line was up over 11% and retention remained very strong at 95%. Our Global Re business grew premiums 27% in constant dollar. The underwriting environment is improving in reinsurance and Global Re has become more of a growth area. Lastly, our Asia focused international life business had a decent quarter with net premiums written up about 9.5% in constant dollars. In sum, we are in a hard market or firming market for commercial P&C, depending on where you are in the world, what cohort of business, and it is spreading. Where we are growing, we are achieving rates that exceed loss costs, and therefore we are achieving margin improvement. More lines of business on a policy year basis are coming closer to achieving combined ratio levels that will produce adequate risk-adjusted returns. However, in most areas rates need to continue moving higher. I believe they will, based on everything we see, given the risk environment, interest rate levels and for how long business was inadequately priced by many companies. The current market is a reasonable response and the trend in my judgment is enduring. John Keogh, John Lupica, and Juan Luis Ortega can provide further color on the quarter, including current market conditions and pricing trends. Closing, our company is in excellent shape. We have the people, the capabilities, the culture and the command and control structure to execute and continue capitalizing on this improved underwriting environment. Our fundamentals and balance sheet are strong, and we know our minds. Again where we can get paid adequately to assume the risk and volatility, we're leaning into it and growing exposure and rate. As we look forward, we expect to grow our EPS through both revenue growth and improved margins. With that, I'll turn the call over to Phil. And then we'll come back and we'll take your questions.
Phil Bancroft: Thank you, Evan. Our financial position remains exceptionally strong. Total capital grew to $73 billion and our AA-rated portfolio of cash and invested assets grew over $5 billion this quarter to $118 billion. Our strong underwriting results and investment performance produced a $3.5 billion of positive cash flow in the quarter. Among the capital-related actions we returned $353 million to shareholders in dividends and in September, we issued $1 billion of 10 year debt at an interest rate of 1.375%. The proceeds will be used to prefund $1 billion of debt due in November '22 with an interest rate of 2.875%. Adjusted net investment income from the quarter of $900 million pretax was higher than our estimated range and benefited from increased corporate bond call activities. In addition there was a $32 million of investment income previously included in other income from our private equity partnership funds where we own greater than 3% that we are now classifying as adjusted net investment income. We believe reclassifying this income as investment income is more appropriate. We adjusted the prior period results to align with this new presentation in the financial supplement. While there are a number of factors that impact the variability in investment income, we now expect our quarterly run rate to be in the range of $890 million to $900 million. This considers the reclassification of private equity income described above. In light of the reclassification, we now estimate other income and expense to range between $0 and a $5 million expense going forward. As a separate matter we continue to record the change in the fair value mark on our private equity funds, outside of core operating income as realized gains and losses, instead of, as investment income, as other companies do. In this quarter, the mark-to-market gain related to private equities was $428 million after tax. Book and tangible book value per share were up 3% and 4.7% respectively in the quarter, favorably impacted by net realized and unrealized gains of $1.1 billion after tax, principally in our fixed income investment portfolio from lower interest rates and mark-to-market gains on private equities. At September 30, our investment portfolio was in a net unrealized gain position of $4 billion after tax. Our net catastrophe losses for the quarter were $925 million pretax or $797 million after tax, primarily attributable to severe weather-related events globally and wildfires. There were no changes to the previously reported aggregate COVID-19 loss estimate from June 30. Additional information on catastrophe losses is detailed in our financial supplement. Our net loss reserves increased $1.5 billion in constant dollars in the quarter and our paid to incurred ratio was 73%. We had favorable prior period development in the quarter of $146 million pretax or $126 million after tax. This included $35 million of pretax adverse development related to legacy environmental exposures. The remaining favorable build development of $181 million comprises $312 million of favorable development from long tail lines, principally from accident years 2016 and prior, and adverse development of $131 million in short tail lines. Our core operating effective tax rate for the quarter was 16%. We continue to expect our annual core operating tax rate to be in the range of 15% to 17%. I'll turn the call back to Karen.
Karen Beyer: Thank you. And at this point, we're happy to take your questions.
Operator: [Operator Instructions] And our first question will come from Mike Zaremski with Credit Suisse. Please go ahead.
Mike Zaremski: Hey, good morning. Thanks. I guess, first question, if we can kind of talk about M&A appetite and your willingness to entertain additional kind of transformational M&A. I think one of your peers earlier this week kind of talked about looking to break up the company. Do you have any view of whether their - do you think there is kind of properties out there that could become available that you'd consider engaging in M&A?
Evan Greenberg: Well, very short answer, will be real quick. I'm not commenting on M&A, and Chubb's appetite and whether we're entertaining this or that, just stay tuned.
Mike Zaremski: Okay. Moving on to, I guess the environments, I guess one of the main questions I get asked is whether we feel COVID is - the charges are more in the rearview mirror, or is there a chance that companies kind of have to change your loss picks, currently up. Clearly COVID, you're demonstrating great results this quarter and there's a lot of improvement in the margin, some of it due to a benefit from COVID most likely due to the less claims frequency, but I guess question is if the pandemic drags on through next year, is that something that could cause Chubb to change its COVID loss picks, just trying to think about how sturdy the charge you took last quarter is and how to think about it potentially changing? Thanks.
Evan Greenberg: We took no adjustment to our COVID charge. We see our reserve as adequate, nothing that shows us any reason to be imagining any charge. Thank you very much for your questions.
Operator: And our next question will come from Greg Peters with Raymond James. Please go ahead.
Gregory Peters: Good morning. Thanks for all the information in the call on pricing. If I step back, in your second quarter conference call, went out market conditions you opined that perhaps over 50% of your business was in a hard market sort of environment. Would you characterize the change from the second to third quarter as being - more of your business being in hard market or is it the same lines just continuing to experience these conditions?
Evan Greenberg: No, Greg, I haven't calculated it precisely. But it has spread to more lines of business and more cohorts at risk. And when I think of cohorts, and that's why I use that term, it's line, it's customer cohorts within line. So if you think of large account versus upper middle market versus middle versus small, and then I do it by territory. And I think about it across geography. And when I look at it that way, it continues to spread. It's more in the middle market then it was. It's in more geographies. It's in more large account business, in more geographies and it's spreading to more lines of business, and within lines of business, it's been accelerating.
Gregory Peters: Got it. Thanks for that answer. My follow-up would be, just in your prepared comments you talked about the expense ratio, and I think for one portion you identified half was efficiency gains and half was operating conditions. I guess considering the effect of COVID and the economic slowdown on things like T&E, et cetera, as we look forward, and let's move past this year, we think about next year and the following years, how much of the expense improvements do you think that you realized are structural and will be with the company going forward. And how much are transitory or sort of one-time in nature?
Evan Greenberg: Greg, I gave you such transparency by breaking down, as I did for you in the commentary. It was a gift. And I gave you a sense of what, at least I can see right now were current condition-related versus what is structural-related and from there, I don't have a crystal ball to go forward. But I gave you [indiscernible] half there.
Gregory Peters: So the half, to sort of follow up on that -
Evan Greenberg: The half is run rate related, and the rest, it has to do with the environment. Well, I can't tell you precisely when does travel open up, when does businesses open up, when do you back at, not just traveling but meetings and other activities that have to do with people to people contact and all the rest of that. I can't tell you that.
Gregory Peters: Got it. All right, thanks, Evan.
Operator: Our next question will come from Elyse Greenspan with Wells Fargo. Please go ahead.
Evan Greenberg: Good morning, Elyse.
Elyse Greenspan: Thank you. Good morning. Evan. My first question, appreciate all the comments on price increases, very helpful. You pointed to North America rates up over 15% in the quarter. There also, could you point [ph] to other comments you pointed to rate exceeding trend on an earned basis by about one investment [ph] your overall book. As we think about earning in that 15% of rate within North America commercial, can you just give us a sense of how that within could translate into margin improvement over the next year? Maybe you don't want to get into specific numbers but just as we could think about the trajectory within North America commercial given that you're getting such great rate within that book of business.
Evan Greenberg: Yes, look, Elyse, it's going to earn its way and it will continue to have an ameliorating and positive impact on margin. That is what I'm telling you. And I see margin improvement and loss ratio, all things being equal, and I gave you a sense on expense ratio. Beyond that, I'm not going to get to point estimates and I'm not going to - as you know, we don't give forward guidance. So I actually, right to the line to give you a better sense than I have of that. Remember the 15% breaks down by line of business, and some lines require more rigs than other lines do, and it depends on loss trend, it depends on where you're starting from, and I gave you a sense as well that on a policy year basis, it's not a matter of making underwriting profit. That's my minimum red line in a soft market. There are harder market and what we strive for over any cycle is to earn a proper risk-adjusted rate of return, which means a combined ratio that will generate just that. And we consider all the factors, trend and loss ratio, et cetera. And we're coming closer in different lines of business to pricing levels that will achieve that. It's not there yet and we will continue to - I imagine, and I see that we can - and I'm confident that we will continue to publish improved margins as we go forward. All things being equal, because I can't predict volatility in the risk environment, cats, et cetera. So I hope that helps you.
Elyse Greenspan: Yes. That's helpful, Evan. My second question, you've been pretty bullish on the market, I would say over the past few quarters. I recognize every hardening market is different, but as you think about these rates by 15% in North America, commercial strongly on commercial internationally as well. Does this market feel like we're in the strongest market, has come - it's like the early 2000s? And obviously there's differences with interest rates et cetera, but you feel like today, we are getting the best rate and have the best forward momentum as you know with COVID being, 2000 as compared to today?
Evan Greenberg: I don't see it as like the early 2000s. I don't see it that way in terms of rate. Look, Elyse, look at the loss cost environment. We just look at the cat environment. You got to be able to pay for cat, and modeled and non-modeled, and in short tail lines, the industry is chasing a risk environment in that area. You look at casualty, when you look through COVID plus and minus. And I can expand on that comment of COVID plus and minus later. But when you look through you have a loss cost environment that is not benign, and you have an industry that in my judgment fell behind on pricing, quite a bit behind and the momentum is very good, but it's got ways to go. And then there are some areas, look at the size of workers' comp in the market, and workers' comp rates have continued to go down. And that's - we don't see that as a growth area to Chubb. Workers' comp continues to go down, and I wonder if the industry won't shoot the mark in that area. Right now, you have - we can come back to it. It's one of the areas that may have some frequency benefit from COVID et cetera, but that ultimately becomes a head fake [ph], and then you play catch up. So mixed bag. I don't see it as the early 2000s, but I see it as a very healthy trend, and we are in a hard market and it needs to sustain itself.
Elyse Greenspan: Thanks, Evan. I appreciate all the color.
Operator: And our next question will come from Michael Phillips with Morgan Stanley. Please go ahead.
Michael Phillips: Thank you. Good morning. Evan, more on the environment, I guess, kind of drilling down into - you've talked about areas where you see growth opportunities and you're going after those pretty aggressively, because the rate is good. Can you talk about - would you want to talk about areas, specific areas and maybe lines and whatever the way you want to talk about this, where you shy away from?
Evan Greenberg: No, I'm not going to. I'm not - that's proprietary. That I'm not going to get into, and I don't think that benefits in investing thesis. So I'm not - I'm sorry Mike, I'm not going there.
Michael Phillips: Okay. Thanks. And then I guess you've talked about in the past…
Evan Greenberg: I'm not going to help others to benefit from Chubb's knowledge.
Michael Phillips: Okay. Fair enough, thanks. You've talked about in the past, maybe an update if you on overseas gen [indiscernible].
Evan Greenberg: Mike, I lost you. You just said overseas gen and then cut out on me.
Michael Phillips: Is this better, Evan?
Evan Greenberg: Keep going.
Michael Phillips: Okay, on Latin American overseas general and growth, so [indiscernible] there?
Evan Greenberg: Did you say Latin America?
Michael Phillips: I did so, yes.
Evan Greenberg: And you wanted an update on Latin America?
Michael Phillips: I did.
Evan Greenberg: Okay. Latin America is only three months since I think I gave you the last update on it, and not much has changed. Latin America is the one region that I think is going to suffer the most and will continue to suffer. When you add the combination of economic conditions there, political and government-related policies and leadership, the general infrastructure and the management of healthcare and the capabilities of government healthcare, in the security situation in numerous countries in Latin America, it all mixes to where you can't be overly optimistic. It's not a region where I'm expecting to see growth. We are - we have negative growth right now and I expect that, that will turn around because we have a large consumer lines business, and that is beginning to - it's beginning to stabilize and quarter-on-quarter, it is starting to look a little better. And we'll then get to - is the year we get into 2021, it will have - it will stop being the drag and you'll have a year-on-year comparison, and it will improve. And some of the fundamentals in Latin America are stabilizing. But I don't see it as a real growth area now. And at the same time, I would say this, we make money in Latin America and our combined ratios are healthy. We have a good book of business. We have a good position. We've got a great team, and we're positioned to take advantage. We got a lot of opportunity, and we're signing up a lot of new distribution et cetera. And so over time, and at some point and that's why it's good to be a diversified global company as we are - at some point, Latin America will contribute in a better way to the organization.
Michael Phillips: Okay, thank you. Thanks.
Evan Greenberg: You're welcome.
Operator: Our next question will come from David Motemaden with Evercore ISI. Please go ahead.
Evan Greenberg: Good morning, David.
David Motemaden: Hey, good morning, Evan. Just hoping to get a bit more of your commentary just around loss cost trends and you had kind of mentioned it in response to Elyse's question, just wondering any sort of update on what you're seeing in the third quarter as economic activity has picked up, courts have reopened, and how much conservatism you feel you're baking into your loss picks, given the environment, underneath some of the statements you made on the loss - on the margin improvement?
Evan Greenberg: Look, and you don't want to divide this. We use normalized trend to price, which is really data through the first quarter of '20. We looked through COVID, both the pluses and minuses, that in our judgment are temporarily distorting. And so we view COVID on one hand as a cat event, and it's a cat event that's producing some plus and minus. On the one hand you have the COVID benefit from a reduction in frequency. And that's showing up and it shows up early. On the other COVID losses are emerging so far from our global look at it, they are in the $30 billion range. And it's mostly short tail and we stick to our view of the ultimate industry COVID loss. Most companies to me appear to be recognizing COVID losses as they emerge and they're going to emerge over the next few years. You haven't really seen the COVID casualty end of it. I should - it may be in your parlance, long tail. Does the benefit from frequency we're seeing right now ultimately offset the ultimate development on COVID, I doubt it. But I don't know. So as things stand that means, again we price, looking through both the benefit of lower frequency and we look through the COVID loss itself, as we treat it as a CAT and we did our darnedest to recognize it, to ultimate. And there is nothing we see so far that changes our view of that at all. So that's fundamentally how we look at it. In my judgment, that's how any good underwriter should be thinking about this. So then that says you imagine that the world ultimately reverts to the normal trend lines we had been seeing in casualty, professional lines, property, et cetera, et cetera. And that's what we used to price, and to imagine the appropriate returns on the business. And may be that gives you a better organized way, of thinking about this.
David Motemaden: No, that's very helpful. I appreciate the color there, Evan. And so it sounds like there is really - there is nothing right now that would make you trade - that would make you change your ultimate trend, and whether that's - so you felt comfortable that it may even be conservatism potentially baked in depending on how some of these short-term benefits come through.
Evan Greenberg: Your first part I agree with. Your second part, you have said twice to me, and you noticed I'm steady in not answering that.
David Motemaden: Thought I'd give it a shot. But I appreciate that. If I could just ask one.
Evan Greenberg: It was a good shot.
David Motemaden: Just one more. This is just a quick one. I know you've said in the past, the E&S book is around 10% of the total company's premium base. But that was after a time where you cut that by roughly half over 10 years. Just from your prepared remarks, it sounds like we are in rate adequacy and more and more of those lines. So my question is, how big do you think E&S can become as a percentage of the entire company as we look forward over the next few years?
Evan Greenberg: Well, first of all, E&S is growing. Rate adequacy, I return you to my comments about policy year, be careful with the statement, just because you're getting a lot of rate, you got to know where the classes started from. We shrunk - I'm going to give you an example. We shrunk primary casualty in the US. E&S just dramatically. That business in my judgment in the US, probably running a 150 anyway. So how much rate do you think that area needs to get to produce a reasonable risk-adjusted, let alone umbrella or access. So you know what you need depends on where you're starting and so imagine that now E&S is one of the growth engines right now for Chubb, between Westchester, Bermuda and London, exactly as I told you before. It's a growth engine. And how big can it become as a percentage of the company, well the rest of the company is not standing still, except temporarily the consumer lines businesses going backwards a little bit. So I'd return you - I probably - which I can't. I'm not going to do, return you to that old joke about how - what it would be. It will grow as a percentage of the company. Thank you.
David Motemaden: Thank you.
Operator: Next question will come from Brian Meredith with UBS. Please go ahead.
Brian Meredith: Yes, thanks. Got two for you Evan. The first one, you mentioned you're lifting the moratorium on share buyback. Yet you still got obviously some pretty significant growth opportunities here given that you're in this hard market and you're starting to see your growth accelerate here. How do you think about balancing the capital management with the growth here? Is it just simply because you just stock's too cheap, you're like - it's a much better return to buy back stock today rather than allocate it to some new business or how you're thinking about that?
Evan Greenberg: Oh my god. No, Brian, you're way over thinking this. We have plenty of capital flexibility. There is not a prayer, I'm going to starve any business of growth because of capital, no, no. The businesses are left to grow as rapidly as underwriting conditions and our risk appetite warrant and our ability to get out of our own way and get after it allows. And so, no. And at the same time, I can guarantee you with this share price I'm a buyer.
Brian Meredith: Got you, got you. So it was really the share price that prompted your, kind of let's just lift the moratorium here?
Evan Greenberg: Listen this is a - no, it's not just the share price. It's - that's actually my last consideration. That's my consideration in terms of do we buy or not buy once we've looked at a moratorium. The moratorium lifting is based on simply good balance sheet and capital management and stewardship of the business. And that is based on our visibility in both understanding the environment we're in, the risk environment, the economic environment, et cetera, the stability of the organization versus that, as we see it and our overall balance sheet position. And all that says to us, okay. It's prudent to lift that moratorium.
Brian Meredith: Makes sense. And then my second question, Evan, you talked about some lines getting closer to kind of an acceptable risk adjusted return. I'm just curious given the current interest rate environment and I know you've talked about ROEs and kind of where you would like them to get to.
Evan Greenberg: It's in there.
Brian Meredith: Where do you think - pardon me?
Evan Greenberg: We use earned interest rate environment.
Brian Meredith: Got you. And what do you think the appropriate kind of a return on equity is right now for your business, right. And do you think, given this for a market hard market we're in, can you get there?
Evan Greenberg: Well, I'm certainly driving to get there, and this isn't calculus where you approach it, and never reach it. I expect to achieve it. And there is both clear-eyed management position I can give you. And I think that's in the industries best interest to achieve stability in the face of a more hostile loss environment and the uncertainty in environment, this industry needs to achieve the proper risk-adjusted return and that varies by area of business and by company on the degree [ph], but I'll tell you what, our objective of achieving in that 15% range has not changed. That's where we are [ph].
Brian Meredith: Great, thank you.
Evan Greenberg: You got it.
Operator: And our next question will come from Ryan Tunis with Autonomous Research. Please go ahead.
Ryan Tunis: Hey, thanks, good morning. So overseas general, really good underwriting quarter. I guess what I'm trying to understand is how exposed is that to the dynamic between rate and loss trend? I think historically, this has been more of a stable margin business, is a lot of A&H, some personal lines. So, I mean to what extent do you think that segment should benefit in some of the same way as North America commercial is full margin improvement standpoint moving forward?
Evan Greenberg: Well, the market is not - the firming market is not about A&H, and it's not about personal lines. Those are very idiosyncratic, and they go to their own rhythm and personal lines in particular is a country by country, line by line. But the commercial lines business in international has many of the same trends that North America does and it varies by country. I guarantee in the short-tail lines, it's got the same trends and faces the same kinds of exposures, that I'm sure you have noticed. By the way just remember Australia wildfires, floods, wind, hail storms, just take them across the various geographies and international. And then in the long tail areas, well, I'd refer you to professional lines, into different countries casualty, marine in certain markets, it has its own - it has its own rhythm to it, and patterns, themes are the same as North America, varies by -
Ryan Tunis: Got you. And then, I guess just on the expense ratio. It always feels like in these hard markets, if you guys hard [ph], kind of was doing a 30% expense ratio and the kind of keep doing - there's not usually a lot of operating leverage, if you will, but we have seen your expense ratio improve over the past couple of quarters. And I'm wondering if - is there a dynamic there of expense ratio improvement as well, that's tied to the combination of top line growing at a more elevated pace, than you kind of used to stay.
Evan Greenberg: I didn't get the last part of that question. I understood what you said expense ratio blah - not blah, blah, blah, but I got expenses. I didn't get the punch line Ryan.
Ryan Tunis: Yes, so the punch line is we usually think about these hard markets in loss ratio improvement kind of improvement story, but we're seeing expense ratio improve, we're not seeing your expenses grow at the level your premiums. Is that the type of things you think they can continue in this type of market, like should we also be thinking that as you're getting the rate adequacy? And as you're growing faster you should also see some ongoing positive torque in terms of expense ratio improvement?
Evan Greenberg: Well, I think I gave it to you already when I gave you the operating expense ratio and told you how much was kind of COVID and health-related environmental, and excluding that about half of the improvement in the OpEx was our own structural. And so that gives you - that I think that answers your question. But I don't give forward guidance. And on the other hand, what I also tried to give you, which I don't have a crystal ball on it, and that is in the acquisition ratio we benefit from mix because of consumer lines coming down, and God bless, that's one that I hope turns itself around and we have the pleasure of seeing our acquisition ratio to a degree, go back up because of the A&H business and some of the personal lines business, right.
Ryan Tunis: Yes. And then one other thing I just - and this was past, how much you can to help me with it, but it seems like a year ago, everyone was worried about reserves, the seasoning of accident year, just across the industry. And your long tail reserve releases of $312 million were higher than I think $280 million last year. I think that this is like '16 in prior, before it was '15 in prior. So it feels like whatever information content we're getting this year and some of those Green or older accident years has been positive. Is there a different - do you see a different dynamic as we get into kind of '17, '18, '19 stuff where we actually did start to see a little bit more of a pickup, or and I'm just trying to interpret the - because that does seem like a high quality result? I'm just trying to interpret what you're learning, not just about the recent COVID stuff, but also in terms of stuff from a casualty standpoint that are - that you were quite long [ph].
Evan Greenberg: Ryan, I know what you are asking.
Ryan Tunis: Thanks.
Evan Greenberg: I know what you're asking me. You know I've been saying for some time that the more recent accident years in casualty, when we look at trends, and others have spoken about it, so called social inflation, which I think it's too narrow a way of thinking of things. But in any event, you see - you saw rates continue to go down. And then loss costs, particularly in the frequency, and to a degree are dependent on the area of severity, the trends worsening. We saw - we've been aware that - and we have reserved and priced for it. I'm not sure the industry has reserved adequately for '17, '18 and '19. And we'll see over time but I think that's also part of the impetus that continues hard market, resolved to recognized and get paid for the exposure and for some, maybe to address holes they'll have in some of those more recent accident years. We'll see.
Ryan Tunis: Thank you.
Evan Greenberg: You're welcome.
Operator: Our next question will come from Yaron Kinar with Goldman Sachs. Please go ahead.
Yaron Kinar: Good morning. Thanks for taking my question. My first question is around premiums. So I think premium growth this quarter actually came in stronger than the cautious tone that was set last quarter. It sounds to me like the tone has also changed and become a little more constructive here. What's changed if I may ask?
Evan Greenberg: What did you just say, I'm sorry, you're - I'm not sure what you asked me?
Yaron Kinar: Okay. I think last quarter, the tone I heard about, on second half of the year premium growth was cautious and results this quarter were actually quite strong on the premium growth side. Sounds to me like the tone has also become more constructive going forward. So I'm just trying to understand what has changed from where you were seeing the environment a quarter ago to where we are today?
Evan Greenberg: I see. We don't exist in a vacuum. We live in a world right now, look around you. By the way, are you talking to me from an office or your home?
Yaron Kinar: I'm at home.
Evan Greenberg: Okay. You're home because we're in a health crisis, and we got an economy with fits and starts, and we've got it globally. The visibility is not great. We have economic activity in terms of businesses, are they opened or closed. We have a hard market and we have exposures, are they reduced, are they the same or they're increasing. Trying to guess all of it in a general environment, don't - I'm saying it to you this way first, because don't narrow your sight to simply the insurance market or you miss the real picture, that it's in context of a world that is unprecedented in our lifetimes. And so if I'm going to give - if I'm going to be responsible in any of my comments in that regard, of course I'm going to be reasonably sober in what I say. We're benefiting from all of the insurance market-related dynamics we've been talking about. And on the other hand, we have the vagaries of the world I just mentioned and that's what you add together, and we're doing our best to drive through that. There will be some in our business, particularly by the nature of it large account, middle market, small consumer and the regions of the world, we operate in, there'll be some variability in growth rate quarter-on-quarter between the quarters, but overall all things considered, I'm very confident in Chubb's ability to outperform.
Yaron Kinar: Okay. And then my second question probably a broader question still, so if I look at the P&C market, the tone from the supply side, including from Chubb is that there is more need for momentum, for rate momentum to continue with the low interest rate environment, with loss trend uncertainty. Do you think that the demand side of the market can and will support this considering that the underlying ratios are actually improving a bit? You're getting some favorable frequency, you're getting rate in excess of trend, COVID losses seem to be manageable to date and prior year development doesn't seem to be a particular drag at this point.
Evan Greenberg: Yaron, first of all, I'm not sure in that comment, you just listened to what I had to say, I'm sorry about what's the COVID benefit versus COVID losses and how to think about that. And what I was very clear about - so that's head fake and you want to go back and think about that with all due respect. But I think you see through that and you look at the trends, and you look what the industry requires to achieve a reasonable risk-adjusted and will clients decide that - well the arbitrage - will large clients decide, well, the arbitrage I got for me because you were selling to me cheap. And I can't take advantage of that anymore. So I think I will increase my retentions and take more myself. Will that occur? Sure it'll occur. And it always occurs and it's natural and it should happen. And that's not a problem to me. Is the industry overcharging and therefore there'll be a natural response against that? Absolutely not. And by the way the last point that I think that I'm going to make to you that I think you left out, when you talked about industry loss costs, you talked about loss ratio. Well, let's also talk about the reinsurance market. And the reinsurance market, I have some sense of their exposures, and I have some sense of what they are running, and we have yet to see the real response, from the reinsurance industry, which increases the cost to the insurance industry, which means that rates continue to move because costs go up. And do I think for the industry this is great behavior? No, I hate the cycles this way. It's because the clients took advantage of very cheap pricing that kept going down year-by-year. The industry kept providing it to them, the brokers kept broking, and no one came with clean hands in it. And it gets to a point then where pressure builds and it goes the other way and it does it in a way that I don't think it's the most responsible way of doing this. But that's where we are. Thank you for the questions.
Operator: And that will conclude today's question-and-answer session. I would now like to turn the call back to Karen Beyer for any additional or closing remarks.
Karen Beyer: Thank you all for your time and attention this morning. We look forward to speaking with you again next quarter. Thank you and have a great day.
Operator: And this concludes today's conference. Thank you for your participation and you may now disconnect.